Operator: Please Hagimoto-san.
Jin Hagimoto: Yes, thank you very much for participating our earning calls today. I am CFO, I am Hagimoto. I will give an overview of the financial results for the first half of the fiscal year ending March 31, 2025 and there are the highlights of this financial statement. In the first half of the year, we were able to achieve record half-year highs in all areas: net sales, operating income, adjusted operating income, and net income. Revenue growth was 15% against the previous year as a result of continued demand in all Companies and the contribution of foreign exchange effects. Profits grew faster than sales growth, due in part to ongoing cost control efforts. Free cash flow has also been added to the disclosure in this report, and it too has reached a record half-year high. Taking into account the strong performance in the first half of the year, we have also revised our full-year forecast upward. As a result, we expect to achieve record highs in sales and profits, and we believe that we are making steady progress toward achieving the financial targets of GS26. Next slide, please. These are our P&L results. All Companies saw double-digit revenue growth, which reached a record high of JPY508.7 billion. In addition to continued demand amid a generally favorable business environment, the effects of the pricing measures also contributed. More details will be provided later in the region and Company pages. Operating income and adjusted operating income also grew significantly faster than sales growth, reaching record highs of JPY87.7 billion and JPY104.0 billion, respectively. This was due to improved profit margins achieved through appropriate cost control relative to sales growth. We will continue to closely monitor changes in the macro environment, such as increased raw material prices and transportation costs, as we recognize that the situation remains unpredictable. Next slide, please. This is an analysis of changes in profit in the second quarter compared to the same period of the previous year. First, increased gross profit from higher sales was driven by TIS and Blood Center Business. The gross margin effect benefited from the effects of easing inflation and cost-reduction measures such as streamlining production. Turning to price, the effects of revised pricing measures, which were expanded in the previous fiscal year, is evident. The price revision was implemented in Japan in the second half of last year, and has contributed to the increase in profit up to the first half of this fiscal year. The increased SG&A and R&D expenses are due to business expansion and are generally as planned. Foreign exchange effects were plus JPY2.2 billion for flow and plus JPY3.0 billion for stock. Next slide, please. The following is an analysis of changes in profit for the first half of the fiscal year. Overall, the increase in sales was largely due to continued demand. The trend is almost the same as I explained earlier as a factor influencing Q2, but the Cardiovascular Company, especially TIS, has been making a larger contribution to sales. Foreign exchange effects consisted of plus JPY6.0 billion in flow and plus JPY5.5 billion in stock. Next slide, please. This shows revenue by region. Steady progress is being made in all regions, particularly in the U.S. and Europe. In the U.S., all companies posted double-digit growth, even on a local currency basis, with the largest growth rate of all regions. In Cardiovascular, TIS, which had been experiencing supply issues with some products in the same period of the previous year, saw a recovery in sales, and Neuro sales were strong. In Blood and Cell Technologies, growth was driven by the Blood Center Business. In Japan, Medical Care Solutions grew substantially. This was due to the effect of pricing measures implemented in Hospital Care Solutions, and solid progress in Pharmaceutical Solutions. In Europe, Cardiovascular grew by double digits on a local currency basis. At TMCS, Pharmaceutical Solutions performed well, and in Blood and Cell Technologies, therapeutic apheresis performed well. In China, TIS sales declined due to the effects of centralized purchasing, but this was offset by strong growth in Neuro. In emerging markets such as Asia and the Middle East, the Blood Center Business, which performed well in the same period of the previous year, saw a decline in sales, while Cardiovascular sales were driven by cardiology and Medical Care Solutions by double-digit growth in Pharmaceutical Solutions, even on a local-currency basis. Next slide, please. I will now review our business performance by company. First is the Cardiovascular Company. Sales revenue grew by 8% on a local-currency basis and was strong globally, especially in Europe and the U.S. In terms of growth by division, Neurovascular and Vascular led the way. Neurovascular was driven by continued strong global demand, especially in the U.S. and China, which saw double-digit growth. Profits increased significantly due to higher revenues, the effects of profit improvement measures, and steady progress in controlling SG&A expenses. Next slide, please. This is TMCS, Medical Care Solutions. Revenue was driven by Hospital Care Solutions and Pharmaceutical Solutions. In Hospital Care, the effects of pricing measures and strong sales of infusion sets contributed. The price revision in Japan implemented last year, together with increased demand in the U.S. were the main contributing factors. In Pharmaceuticals, the CDMO business is making good progress. Overseas, PLAJEX performed well in Europe, the U.S. and Asia. These increases in sales and the effects of pricing measures resulted in increased income. Next slide, please. This is TBCT, Terumo Blood and Cell Technologies. Revenue was driven by the Blood Center Business and therapeutic apheresis. In the Blood Center Business, sales of whole blood collection systems and blood component collection-related products were strong in Europe and the U.S. Rika is also developing well. Therapeutic apheresis sales were strong, mainly in the U.S. and Europe, due to growing demand for cell collection for cell and gene therapies. Profits were boosted by higher sales in core businesses and improved profitability accompanying the rollout of Rika. Next slide, please. The above is an explanation of sales and revenues. As I mentioned at the beginning of this report we also intent to strengthen our cash flow management from this fiscal year. This is our free cash flow. This increased by JPY44.6 billion from the same period last year, also reaching a record half-year high. In addition to the increase in profits, operating cash flows have increased significantly despite the increase scale of business due to successful working capital management and timing. There was also a reduction in capital investment due to differences in the timing compared to the previous year, which contributed to improved free cash flow. Next slide, please. I'd now like to look at forecast earnings. We have revised our full-year forecast upwards to reflect the strong performance seen in the first half of the year. As a result, we expect to achieve record highs in sales and profits. Each company is making upward revisions to both sales and profits. Next slide, please. We have revised our adjusted operating income forecast upward, from JPY185 billion at the beginning of the year to JPY200 billion. This revision takes into account the favorable foreign exchange rate compared to that assumed at the start of the year, as well as steady business operations and business expansion. The value of adjustments is being increased by JPY8.0 billion. This was a provision for restructuring expenses to improve efficiency in the Cardiovascular Company, but there are still ongoing aspects of subsequent reforms, so I would like to refrain from explaining further details at this time. We must continue to monitor changes in the business environment closely, and promptly consider corrective measures if required. Nonetheless, we recognize that business fundamentals have been stable since the first quarter, and we will continue management efforts to reach our financial target of 19.8% adjusted operating income this year, as well as the targets set out in GS26. That's all from me. Thank you for your time. We'll hear from the CEO, Mr. Samejima
Hikaru Samejima: Hello. Thank you very much for coming. This is Samejima, Terumo's CEO. At the FY23 Q4 financial results meeting on May 14, we talked about our big vision, the future of Terumo, our vision and the path to it. Today, I would like to break this down a bit more and focus on one of its key components, our innovation strategy. Terumo's ultimate goal is to provide innovative and comprehensive solutions to medical issues. I believe innovation to be essential to achieving this goal. Thermo associates value the pursuit of innovation and this has formed the foundation of our efforts to solve medical issues to date. However, in order to rapidly respond to increasingly diverse and complex medical issues and needs, we must further energize innovation. Strong will and commitment from management is essential to achieving this. This includes organizational reforms forms geared toward creating innovation, company culture and leadership in the creation and promotion of innovation strategies. This year, we have created a new position, the Director of Innovation, and this is an expression of my commitment to innovation. All related departments, including R&D, Intellectual Property, clinical development, DX Promotion, Pranex medical training facility and venture investments are now overseen by Osada, our Director of Innovation. This will make it possible to encourage innovation in a more organic way. In parallel with promotion of our net mid- to long-term innovation strategy. Our current five year management strategy, GS26 defined sales growth drivers up to FY 2026. This year marks the midpoint of GS26. As you can see, all Terumo's companies are making steady progress toward achieving their goals. I'm proud that this has been the result of our accumulated technological capabilities in research and development, but this is not the end. With its solid management foundation and robust technology, Terumo will achieve even greater results by linking its innovation and management strategies. We are also emphasizing research and development in line with management strategies and the optimal allocation of valuable management resources. For example, we are currently running several hundred development themes globally across a wide range of domains, development time lines, project sizes and sales areas. During this fiscal year, will visualize the entire R&D picture, construct an optimal portfolio and expand our pipeline for top line growth. In terms of the way we think about innovation, Terumo no longer has barriers such as that between internal and external development. We will combine internal development with external partnerships and acquisitions to leverage all available resources to nurture innovation. To us, innovation not only means developing devices in existing markets, but also creating new markets, value and solutions with new ideas. This is our main pipeline but we will continue to adopt flexible and bold ideas to determine the potential of new technologies and take on challenges in adjacent fields and areas where synergies can be expected. As one example of our taking on challenge of new deals, I would like to introduce you to our innovation with venous products. Terumo is undertaking development to make a full scale entry into the venous intervention. Venous thromboembolism is a serious life-threatening disease and is the third leading cause of cardiovascular disease related death in the United States, the largest market for this product. With a wide range of risk factors, this disease has a large potential patient population and the number of patients is increasing at the rate of approximately 10% per year. Looking at the market for venous thromboembolism interventions, it is easy to see that the market is growing steadily as populations age and lifestyle deteriorate. Our values, which are also at the core of our business strategy is the venous field are unwavering. We will provide end-to-end solutions from access to closure to achieve minimally invasive vascular treatment and improve patient's quality of life. In the access field, we have already gained a high market share with our existing products, and we'll use this as a springboard to launch innovative new therapeutic device products for from thrombectomy and stents. Arteries and veins actually differ considerably in their characteristics. For example, vessel elasticity size and hardness of clots and also the size of the device. There remain many unmet needs in the venous field, which is a late comer market compared to the arterial field. Terumo will meet these unmet needs, not by developing from scratch but instead by developing technologies originally developed for arteries, and we believe this is our strength. Even in access field, we have many people saying we want a dedicated venous products. We still need it. I believe that this is an unmet need that can only be met by Terumo, which already has unrivaled product strength in the access market. And we are in the process of developing a product that will make people say, of course, that's a terrible product. Here are a few specific examples of venous R&D that is already underway. Each of the products for arteries listed on the left has its own base technology. By evolving these, we will fill unmet needs specific to venous applications and in so doing, create innovative range specific devices. Unmet needs are met by Terumo renowned coating, tube forming and metal fabrication technologies. These will enhance features such as transit flexibility dilation, adherence and aspiration efficiency, which are essential for venous treatments. Next are our sales forecasts for our venous pipeline and venous business. Focusing on therapeutic devices that have a large market size and high-growth potential. Taking into consideration the short to mid- to long-term time frame, we are promoting development spanning access to closure [ph]. Although I have introduced our internal development for venous, we are simultaneously using external investment to strengthen innovation for venous treatments. In August of this year, Terumo created a Corporate Venture Capital firm or CVC called Terumo Ventures. The presence of start-ups in the medical device industry cannot be overlooked. In the past, we have made venture investments through participation in funds managed by venture capital firms. Now in answer to the question of what changes with CVC, the answer is ownership. With the launch of our CVC, we have also clarified its role to give it greater independence. The role of Terumo CVC is to stimulate innovation through venture investment. The scale of investment is expected to be US$ 75 million over the next five years. With the sense of mission, Terumo Ventures will accelerate the speed at which we acquire new technologies and build our M&A pipeline; we've already received many inquiries from many venture companies. The pie chart on the left shows a breakdown by a field of more than 500 deals in the venture investment market over the past six months. From such a diverse range of projects, Terumo is narrowing down its investment targets and carefully selecting areas consistent with its business strategy. The table on the right shows our venture investment portfolio. Arrows indicate progression of growth stage since our initial investment. We have already exited some investments and recovered our investment. Others have been terminated as external investments and transfer to internal development. We are creating an optimal portfolio that is well balanced and unbiased in terms of area and growth stage. Finally, I would like to give an example of Terumo's thinking on the use of digital technology, taking external investment in the field of digital diagnostics at the bottom of the portfolio as an example. One of the optimal health care solutions offered by Terumo is minimally invasive vascular treatment. With an eye to possibilities beyond that, we are focusing on the field of vascular diagnostics utilizing AI and other digital technologies. While diagnostic imaging usually involves visual interpretation, analysis of diagnostic images using digital technology enables objective quantification of risk, something that has historically been difficult to achieve. This will also allow for more accurate determination of treatment urgency and necessity. When I think about just what an optimal health care solution is, I came to the conclusion of realization that if advanced diagnostic technology can show that there is no need for treatment isn't that the most minimally invasive health care solution. However, the number of acutely ill patients requiring treatment continues to increase due to global population growth, aging and deteriorating lifestyles. And we will continue to deliver minimally invasive vascular treatment that is less burdensome, providing both its one form of Terumo's vision for optimal health care solutions utilizing digital technology. The pursuit of innovation has been and will continue to be one of Terumo's core values and taking on the challenge of entering new fields such as venous treatment is also next expression of this innovative mindset. What Terumo must do for health care and patients around the world is to provide innovative health care solutions. There must be something that only we can do. we will provide a new value in healthcare using bold and flexible ideas that are close to patients and medical settings and deliver a great deal of wow. Reaching new frontiers for healthcare through innovation. I am very much excited about Terumo's potential. Thank you very much for your time.
Q - :